Chris Pockett: I'm Head of Communications for the Renishaw Group, and I'd like to welcome you to this live Q&A session for Renishaw's full-year financial results for the year ended June 30, 2024. Hopefully, you all had the opportunity to view the video presentation that was released as part of this morning's RNS statement. And Will Lee, Chief Executive; and Allen Roberts, Group Finance Director, are here now to answer any queries that you may have in relation to that presentation and the results statement. We'll try to answer as many questions as possible before we close at 11:15 p.m. -- oh a.m. even. I will try to group similar questions together, so we may not answer all individual questions. [Operator Instructions].
A - Chris Pockett: So, we're going to start with a question around system sales. Is the shift to having a larger share of system sales in your revenue having a negative mix effect on operating margins? And is this likely to be an ongoing headwind? So, we'll start with Will.
Will Lee: Thanks, Chris, and good morning, everyone. So just firstly to put this into context a bit, worth remembering, as we talked about in the presentation, our Q4 margins were impacted by some specific costs. So, we did have a lower drop-through than we would have expected. Actually, if you took these out, if you took out impairments and restructuring, the operating profit margin would have been at 20%. Specifically, with systems, then the margin on systems is good, similar to the rest of the business. It does vary. I’m is slightly lower and some others are slightly higher. But overall, as I said, about average. In terms of -- so going forward, really for us here with the systems businesses, it's all about growth. These are newer markets where we have quite an opportunity to gain market share. and making sure that we get the operating leverage coming through.
Chris Pockett: Okay. Thank you, Will. Next question is around capital expenditure. You mentioned that CapEx is forecast to be around GBP40 million this year. Could you expand on your plans? And I think that one is going to Allen.
Allen Roberts: Thank you, Chris, and good morning, everybody. On this particular issue, as we reported, the property spend is -- at BiSS is now largely complete. This year, we will be further investing in manufacturing equipment for the site and to provide some additional capacity for long-term growth and also productivity benefits. Elsewhere, we're investing in a centralized logistics hub for our EMEA operations, which will be based on our [indiscernible] in Germany. We're also looking at expansion plans in India, where we do see some significant growth opportunities for our products. We are looking at some automated stores also at our Miskin site. And there is some capital expenditure aimed at helping us to achieve our sustainability goals. In addition, and although not capitalized, we're continuing to roll out our new ERP system, Microsoft 365, and we're also development of our new webshop capability.
Chris Pockett: Okay. Thanks, Allen. Next question is around China and the competition, the question. Has the local competition in China intensified? And is your profitability in China lower than in other regions? Is the price pressure focused on specific product areas or across the board? And I think that one's going to go to Will.
Will Lee: Okay. Yes. So, we've talked about Chinese competition quite a bit. It is general, it's across the board. Some areas where it's a bit stronger, some of it weaker. I think if we take a step back, China really is a market where we are doing well, up 14% last year. profitability we don't report on, but China is good for us. It is strong there. Our discussions have been much about understanding of competition as the opportunity that we still have there for growth going forward. specifically, with the pricing pressure, it's always quite complex, and that's actually even within individual product lines. Example, reasonably recently visiting a customer making electronics manufacturing equipment’s and even within that one customer on one product for them, where they were buying encoders from us, you could see on certain axis actually good enough was fine on other bits of the machine. They were really pushing the limits of what could be done with the measurement performances of our technology, so one area, price is more important, one area, it's all about performance and us moving on, keeping the innovation engine going. So very varied even within specific areas.
Chris Pockett: Okay. Thanks, Will. I think this one is coming back to you as well. The U.S. appears to have seen a strong end to the year, but the recent data from that region suggests a slowing in growth momentum and reduction in investment levels. This may be exacerbated by uncertainty through the upcoming election. Has Renishaw seen any deterioration in order intake in that region? And is this a concern through H1 2025?
Will Lee : So, we did see a strong end of the financial year in the U.S. and the Americas. Slightly softer start of this financial year. quite topical this. I just got back from the IMTS show in Chicago where I did also manage to get COVID, so apologies if I'm coughing and sputtering a bit during this webcast. Discussions there with customers and the team, lots of talk on quite significant projects going on. But uncertainty on when the green light is going to be given by customers for those investments. So, probably a bit more uncertainty than we've had, for sure, the election is weighing on that. Most important for us in this market though, it's a strong one with the team that we have there on some of our newer capital goods areas. It was great to catch up with the team and seeing the progress they are making there. that outperformance where we've got a lot of opportunity for growth is going to be really key for the group.
Chris Pockett: Okay. Thanks, Will. And moving on to the next question. This is around currency. I think this is probably one for Allen. Can you provide detail of the impact of currency on the FY '24 results and your expectation of the currency impact in the current year, could you also provide an overview of how you manage currency risk?
Allen Roberts: Thank you, Chris. The adverse currency impact on adjusted operating profit in 2024 was a net GBP9 million, which was made up of a number of components. Firstly, the -- there was a GBP31 million reduction in revenue, excluding the forward contracts. We saw a GBP7 million gain on the translation of overseas costs between total labor. And there was a GBP15 million gain from -- out the forward contracts that we entered into. Looking forward to this year, we have better rates on our forward contracts for the U.S. dollar and the euro compared to last year. However, the latest spot rates are adverse compared to last year's average rates. And based on the current rates on our contracts, we would expect to see a small currency benefit to the profit this year compared to last year. Our hedging strategy covers the main trading currencies of the group, which is the U.S. dollar and euro and the yen, using forward contracts over a rolling 24-month period, we target 75% coverage of the forward net cash inflows. Given our short order book, the risk for contracts being ineffective for hedging purposes, we mitigate by using staggered approach for each month of forecast inflows we placed one contract for 24 months in advance and the second top-up contract 12 months in advance. When we have better visibility of the future trading conditions. We also use caps about which contracts are not entered into.
Chris Pockett: Okay. Thanks very much, Allen. The next question is around gross margin. So, your gross margin fell by over 400 basis points to 46.8% in FY '24, which was by some way, the lowest level over the past decade, including the COVID disrupted year of 2020. What were the reasons for this? And what measures are you putting in place to recover this? And where -- that's going to Will.
Will Lee : Yes. So, there are two significant ones here, actually, topics just talked about currency. The other is our labor costs within manufacturing is the manufacturing here. In terms of going forward, addressing this, really two key themes for us here. One is operational gearing. We have invested here, and we've got to make sure that the business, the sales is driving the efficiency of those investments that we've made. Secondly, keying right across the group, productivity, so having a real focus on driving productivity. For the gross margin here, the two key areas, I think, worth highlighting is investments we've made from an automation point of view, both in assembly driving down manufacturing costs. And also, as Allen has actually already mentioned in logistics as well. Allen, I'm not sure if anything you want to add in terms of currency specific or labor.
Allen Roberts: No. I think we covered that on the previous one Will.
Chris Pockett: Okay. Thanks both. And just linked to this -- as gross margin's key, measure of value add. Do you expect an improvement in the gross margin in FY '25? Allen do you want to talk to that one.
Allen Roberts: Yes, I think this is very, very much in -- critical to volume growth that we're expecting. So, we do expect to see improvement in margin. Whether we get to 20% might be a bit of a struggle, but we're heading that way.
Chris Pockett: Okay. Thank you. Our next question is around cash conversion. So, this as it relates to the KPI that isn't mentioned in the presentation. Given the adjusted cash conversion target of 70% and the GBP218 million that you already hold. Can you give an indication of how the Board plans to utilize this cash? And I think that one is going to Allen.
Allen Roberts: The -- in the end of '24, we did see an increase in the cash balance year-on-year from GBP11 million which was largely due to receipt of GBP9 million from a deposit from our joint venture, where we're earning interest. We anticipate a significant proportion of the cash generated from the operating activities this year will be needed for tax and dividends. And in addition, we're unlikely to see a repeat of the working capital reductions that we saw last year. As mentioned earlier, we are planning a CapEx of around GBP40 million this year, and we will consider future plans for the cash once this program has progressed. But we do not have any immediate plans to return cash to shareholders.
Chris Pockett: Okay. Thanks, Allen. Currency question here. Organic growth at constant currency for the first 9 months was reported at 0% compared to 3.7% for the full year. The question is, what was the organic growth in Q4 '24. Who's going to take that? Will.
Will Lee : Yes. So, we don't report on the constant currency on its own for Q4. What I can talk about is what would the underlying causes were there. And I think two themes are really worth mentioning. First, very pleasingly, we saw an uptick in our encoder sales into the electronics and semiconductor manufacturing areas. And we also -- actually, as we already mentioned, saw of a strong finish to the year from our Americas region.
Chris Pockett: Okay. Thanks, Will. There's a question here. On Slide 8 of the presentation, Allen said the through-cycle growth target of greater than 7% was imminently achievable. Can you contextualize this further? I think for clarification, what he actually said in the presentation was eminently achievable. But perhaps Allen or Will would like to talk to that one. Will.
Will Lee : Yes, I can pick this up, so clear this is a long-term growth target that we have through the cycles. Two things here. So, we're fortunate, as we talked about at Capital Markets Day in the areas that we operate, have good underlying growth these continue to be true. One of the themes coming back very much recently from the AMB Machine Tool show over in Europe was really -- even in Europe, which is quite a depressed market at the moment was the focus on automation and the need to drive productivity there. So, really strong those long-term drivers. The really important bit for us is the bits where we can then outperform. And we've talked about those strategies that we have there in terms of increasing our technology, value growing some of our existing businesses. So those strategies are I think we're making really good progress with. And we are very confident in the long-term growth rates that we're going to achieve.
Chris Pockett: Okay. Thanks, Will. Question here on revenue growth. Please provide more detail to how you see revenue growth phase throughout the year ahead -- is phasing through the year ahead, Will, do you want to take that one?
Will Lee : Yes. So, I think probably on normal cautionary tail of having said, we had a good Q4, some reduction in electronics doing well. America is doing well. I already mentioned America, slightly softer at the start really just be cautious extrapolating. We do tend to have a short-order book. Markets can change positively and negatively quite quickly. So, I think it's always tricky with us to extrapolate too far into the future. We do tend to have a bit of seasonality, so you would expect a stronger H2 and H1.
Chris Pockett: Okay. I think this one is probably going to stay with you. This one is around medical devices business. Can you elaborate on the strong performance within medical devices and the outlook for that business, given the recovery in clinical trials more broadly?
Will Lee : Sure. The -- so if we're looking here within the medical devices part of analytical instruments, and medical devices, then it was really good to see with this business, although it's relatively small, did see a good increased demand for robots this year and still continue with some good prospects for drug delivery, which is the much long-term opportunity that we have here for the real growth in the business.
Chris Pockett: Okay. Thanks, Will. Question here on order book. Please comment on how order book visibility and customer order behavior is evolving. Is that one for Will again?
Will Lee : Yes. No real changes here. We're around about two months, are similar to long-term average, the increased visibility that we had in the post-pandemic when supply chains were more challenging, is no longer the case for us. So, we really get back to our normal degree of uncertainty. And making sure that we are well placed to meet customers when they surprise us with short-term visibility on orders.
Chris Pockett: Okay. Thanks. Margin question again, how do you expect product mix to impact margins going forward? Do you expect gross margins to stay at the current levels or a directional recovery to historical levels? Will is going to take that one.
Will Lee : So, we've talked about targets here, getting back to the mid-60s. I think that's less due to the product mix that we're going to see and more about some of those topics we talked about earlier. So, the operational gearing, making sure that we are making most of the divestments that we've made and driving productivity through getting more focused within the business and making the most of the resources that we have. So, I would say that's the most key that.
Chris Pockett: Thank you. Pricing. Do you expect pricing to be a margin headwind or tailwind going forward? Will?
Will Lee : So, maybe the best place to start here is looking at what we've seen. So, we have got better at introducing targeted price rises over the last couple of years. So, there's certain areas that we have ability to increase pricing in. What we've typically seen though is some areas where we have more pricing pressure that actually that the positives are being offset by those areas where we are needing to do a bit more discounting. So overall, we have seen neutral over the last couple of years, i.e., Don't see any signs that, that is dramatically changing. So still the ability to put in targeted price rises, but some areas, particularly ones where areas are volumes are starting to grow, becoming a bit more price sensitive.
Chris Pockett: Thanks, will. Okay. Employee levels. Now do you anticipate further meaningful hiring in the current year? Or is Renishaw now well -- fully invested with regards to production capacity and people for the anticipated demand uptick? Who's going to take that one? Will.
Will Lee : We expect to see limited additional recruitment. There's always some as we are planning for growth there will tend to be some in direct manufacturing. As we increase our installed base and capital goods from servicing an existing installed base point of view. And targeted specific initiatives, particularly from a sales side of investing both in India, where we are seeing significant growth opportunities and also in China as well. In terms of U.K. and engineering, then really what we have is from the churn during the year, the majority of that should be filled by our early career’s intake, which we have in September. So targeted increases, nothing significant there.
Chris Pockett: Okay. Thank you. Linked to that, please, can you elaborate on the level of wage inflation you anticipate for FY '25. How much of that can be absorbed by productivity. Who is going to take that one? Will start with that one?
Will Lee : So, in terms of just some of the data here. So, this -- it will be January 1 will be our next pay review for the group. Not decided on that yet. We'll really have a look later on this autumn on market data and see where we are. Clearly, our staff, the people at Renishaw are the single most important things. We want to make sure we reward well. That does need us to make sure we are becoming increasingly more productive A lot of this is in the stuff we've talked about in becoming more focused, more focused on our innovation engines to make sure we're really driving and investing in the right products. They're going to make the biggest difference. And also, from a sales point of view, making sure, particularly with our capital goods that we're focused on, the customers that are going to drive the volume business from us going forward. and also developing with some of the new products coming through newer routes to market, maximizing the sales per employee.
Chris Pockett: Okay. Thanks, Will. Back to margins now slightly different to take. In FY '21, adjusted operating profit margin improved to 21% from 10.1% in the prior year. How fast do you expect the margin recovery to materialize from the current cycle trough? Allen is going to pick this one up.
Allen Roberts: Yes, on this one, I think reflecting back, of course, 2020 was the year of the COVID and significant impact on us. For the -- sort of going from 10.1% to 21% was quite a dramatic improvement. We don't see a -- we're seeing -- we're likely to see a steady improvement, not a rapid improvement in the current year. Volume, of course, is critical to us because we get a high job through on increased volumes. And we are still seeing some fixed cost inflation and pay increases, which Will just referred to. So yes, we don't see a dramatic improvement, it was a steady improvement in margins as we covered already.
Chris Pockett: Okay. Thanks, Allen. And linked, I think, very much linked to this, and I think it's probably one for you as well. Is 20% adjusted operating profit margin achievable in FY '25 if growth tracks in line with your expectations? And also, what are the other key moving parts for your profit margin recovery? So back to you, Allen.
Allen Roberts: Well, we are expecting a steady increase. The said volume is critical. And the other moving parts are the pay inflation and there's some element of stock provisioning, which we did have a little bit last year and some sort of one-off costs, but nothing particularly foreseen for the current year.
Chris Pockett: Okay. Thank you. There's a question here on the R&D impairments that were mentioned in the presentation. What do the R&D impairment costs relate to? Do you expect any further cost in this regard or were these largely one-off in nature? Is that one for you, Will?
Will Lee : Allen?
Chris Pockett: Allen's going to take that.
Allen Roberts: All right. Okay. Yes, there were a couple of projects that we -- when we undertook our review in the last quarter, which we -- we considered it, the Board considered it. we would be impairing basically based on sort of extended paybacks and didn't meet the particular criteria that we apply to R&D payback calculations. So, we took the decision to impair them.
Chris Pockett: I guess the other part of that, Allen, do we expect that to...
Allen Roberts: Sorry, do we expect, No. Well, we regulatory review our impairments -- and as we are right now, we don't foresee any at this particular time.
Chris Pockett: Okay. Thank you. A question here on capital allocation. So, can you elaborate on capital allocation, given the well-invested working capital, high cash position and Miskin expansion that's now largely complete? How do you assess returning some of the excess cash to shareholders at some point, one from?
Allen Roberts: Yes, I think I covered this one Chris earlier, and we were talking about our cash conversion targets. We don't have any plans -- immediate plans to return cash to shareholders. So, we will be considering this when we've finished our capital expenditure program this year and when we have an opportunity to discuss future plans but nothing imminent.
Chris Pockett: Okay. Thank you. Right, a multipart question here. What level of labor inflation do you anticipate for FY '25? Could you please quantify savings that will be achieved from increased assembly or the logistics automation when were these implemented, please? Do you have any large new product launches planned for the next 13 months that we should be aware of in terms of launch and marketing costs and potential revenue impact? Now I think some of those are we've already dealt with. So, I think probably Part three there, do you have any large new product launches planned think maybe that's one for Will. So, if I throw that over to Will.
Will Lee : Sure. Yes, we do. We can't talk about them because we keep these things secret until they come through, but there's certainly some ones that we are extremely excited about that we think should have a significant impact on the business going forward. in the longer term. Importantly, these are ones that our route to market is already there, before. So, it's not going to require additional investments from a sales and marketing point of view to make the most of these new products which are coming through.
Chris Pockett: Okay. Thanks, Will.
Will Lee : I think Chris, the other ones have been answered that we talked about pay review already.
Chris Pockett: Yes, we already dealt with those, I believe. So, I think this one's going to stay with you then Will around semiconductor market. Could you provide a bit more granularity on the semiconductor end markets that Renishaw is exposed to and which segments have seen a recovery ultimately benefiting organic growth in H2?
Will Lee : Yes. Good question. So, when we look at this from a front-end point of view, actually, what we've seen here is far more of a steady performance all the way through the last couple of years. So, this is a lot for us in terms of wafer inspection with our higher-end encoder systems, higher value, higher value equipment’s in the end as well. The area that we have seen the more recent improvement for globally is more for the back end for some of the latter stages of more when the silicon is actually being prepped and made into an electronics chip itself. So, it's that many of those stages, which feel like they are more commoditized for our customers and the ramp up and down, therefore, feels like it is much quicker with those areas that their customers demand on them. So that's where we're seeing, and that's from the optical encoder high volumes here, so lower price per encoder, significantly higher volumes.
Chris Pockett: Okay. Thanks, Will. I guess, well, linked to this is it's a question around our end markets, key end markets. So please, can you elaborate on the outlook for key end markets. So precision manufacturing, semicon, consumer electronics automotive, aerospace are those -- where do you see the strongest and weakest traction? That's one for Will.
Will Lee : Okay. So, we talked about semi-recent growth from back-end equipment, general productions from 2025, it feels positive. But hey, these things can move quite quickly. Aero still feels pretty solid. Higher-end machine tools. So, this is the 5-axis machine tools. and also, in terms of increased capability with coordinate measurement machines, so pretty good. Auto, certainly more sluggish. Interesting investment, both we're seeing in EV and ICE as well. The ICE is broader actually than just automotive. So, ICE's being used for other areas too there. Consumer electronics was pretty good last year. Now this can change quite quickly. We haven't seen a strong start to this year here, but this tends to be quite rapid in terms of the rate of its change and of all the areas, the hardest to predict.
Chris Pockett: Okay. Thank you, Will. Okay. Well, this will be the last question for the webcast unless there's any other questions out there. Just a reminder, you can submit questions via the question icon, it's on the control panel, the right of your screen, but this may well be the last question. And this one is again on semiconductor, but slightly different slant. So, what is your current assessment of the risk to your semiconductor-related business or indeed other product lines from tightening restrictions on exports to China, and that one's to, Will?
Will Lee : Okay. So, there's probably two sides to this. So first of all, you've got that we will sell equipment to non-Chinese semiconductor manufacturers who will then export it into China. And then also we will directly sell our technologies to companies in China to integrate with their equipment to domestic electronics and semiconductor manufacturers. Easier to comment on the second because we're not really aware of so much on the first. What we do see is our higher-end encoders, our laser encoders are export controlled and certainly, we have seen an increased level of restrictions there in terms of selling those products to customers in China. So that has had some impact on our sales directly to China over the last 18 months or so.
Chris Pockett: Okay. Thank you, Will. We have just received one more question, just made the cut. I think this is going back to you, Will. Could you elaborate on the strategic decision to enter the coordinate measuring machine CMM market? Could your customers see this as a threat?
Will Lee : Yes. So, we've talked this through with our customers. The area of the market that we are going after when we sell a CMM solution as opposed to CMM components to CMM manufacturers on to customers. It is the high-end, high-productivity, high-measurement flexibility market. And what we see here, these sales offer the most benefit to the end customer, but they're often the most complicated and quite long-term sales. So, that's the area that we are focusing on and then we're very much focusing on supporting our customers. So, our CMM customers, if they want to sell into those, then we will support them with that. And we will -- but also really focusing them on what we call the 3-axis market, which is less productivity, but our larger sector of the CMM market. So, we talked this through, discussed. It's going quite well at the moment. It's really starting to increase the impact of our REVO-5 axis technology in the market. which when we talk through with our CMM customers, they -- we all see the benefit of that as the REVO becoming the established technology for high productivity. And also, the ability to automate many measurements on one platform.
Chris Pockett: Thanks, Will. We have another question. Could you please explain the pricing versus volume dynamics? You mentioned that high volumes can lead to higher customer price sensitivity. Is this simply a function of large volume orders coming in at lower -- I assume that's actual sale price, please? Who's going to pick that one up, Will?
Will Lee : Yes, to -- yes, I think there's probably been a couple of bits here. This is actually some of the higher volume encoder stuff is often at a lower price point just because of the products that we are selling there. We certainly do see this, though, if we look at this more generally then clearly, our customers that have the large end customers have the opportunity to buy significant volumes of our products, do have more pricing influence with us. example of this would be things like Equators going into consumer electronics factories, seen a growth in India recently on that. So yes, there will be pricing pressure on some of those areas. More than offset by the large volumes that we get from those.
Chris Pockett: Okay. Sorry, there was a clarification from the questioner that ASP are selling price. That is the last question. So that now ends this morning's Q&A session. As ever, will aim to publish a recording of this webcast on the Investor Relations section of our website by tomorrow morning. So, on behalf of Renishaw, I'd just like to thank you all for attending this event. Have a good day.